Operator: Good morning and welcome to SNC-Lavalin’s Fourth Quarter 2019 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Denis Jasmin, Vice President, Investor Relations. Please go ahead.
Denis Jasmin: Thank you. Good morning and thank you for joining us. Our earnings announcement was released this morning and we have posted the corresponding slide presentation on the Investors section of our website. The recording of today’s call and webcast will also be available on our website within 24 hours With me today are Ian Edwards, President and Chief Executive Officer; Sylvain Girard, Executive Vice President and Chief Financial Officer; and Nigel White, Executive Vice President Project Oversight. Before we begin, I would like to ask everyone to limit themselves to two or three questions to ensure that all analysts have an opportunity to participate. You are welcome to return to the queue for any follow-up questions. I would like to draw your attention to Slide 2. Comments made on today’s call may contain forward-looking information. This information by its nature is subject to risk and uncertainty and as such, actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company’s relevant filings on SEDAR. These documents are also available on our website. And now, I’ll pass the call over to Ian Edwards. Ian?
Ian Edwards: Thanks, Denis. Good morning and thank you for joining us. Please turn to Slide 4. We had a very strong fourth quarter operationally. Our results underscore that the new strategic direction that we implemented in July to derisk the business and generate consistent earnings and cash flow is delivering. Among our key highlights for the fourth quarter, we generated more than $300 million in operating cash flow, our highest quarterly cash from operations since the fourth quarter 2017. Our adjusted net income from E&C was approximately $80 million, a significant reversal from the adjusted net loss from E&C in Q4 2018. We grew our cash position by over 87% year-over-year to $1.2 billion and significantly reduced our recourse and limited recourse debts. Our reduced net recourse debt to EBITDA ratio as calculated by our creditors was 2.1 at the end of Q4 2019, substantially lower than 3.4 at the end of Q3 2019. We had consistent growth in SNCL Engineering Services, growing year-over-year revenue backlog and delivering strong segment EBIT and a double digit segment EBIT ratio. We continued to reduce our LSTK project backlog. This strong performance reaffirms that our strategic direction is delivering and positions us well for 2020. In respect to the coronavirus, we continue to monitor the situation and follow the guidelines issued by the World Health Organization as well as local government policies. Our robust business resilience program was activated promptly in China and now ensures that information and actions are coordinated across affected countries. Some of the examples of actions already taken to mitigate any risks, while continuing normal course of business are company-wide travel bans to Mainland China, specific majors for employees using technology to work remotely for an extended period, use of technology to reduce international travel and essential trips, a focus on hygiene, recognizing the symptoms with support to employees that are concerned or are seeking further information. Let me now walk you through a more detailed update on our business lines. Starting with Slide 5, SNCL Engineering Services, which represents the high value part of the business, delivered a strong quarter across all segments with some notable EBIT and revenue increases. Quarter-over-quarter EDPM increased revenue and have strong EBIT margins of over 9%. Nuclear revenue was in line with last year and it delivered a strong EBIT margin of over 18%, up from approximately 15% in Q4 2018. The most significant revenue growth came from infrastructure services with an increase of over 20% compared with last year due to the contribution from Linxon. Overall, revenue from capital was lower due to the lower dividend from Highway 407 ETR after the sale of a portion of our stake in the Highway 407. SNCL Engineering Services continue to secure new contracts and high-quality work increasing the backlog by approximately $900 million year-over-year. This brings me to Slide 6 and our growth opportunities starting with EDPM. As a market leader in the UK and Canada, we also see significant opportunity to expand our presence in the U.S. with a particular focus on harnessing the potential of data and technology across our services. In the UK for example, we are working on High Speed 2, the new high speed rail network and one of the most transformational projects ever undertaken in the country. As engineering delivery partner for Phase 1, we have a major role with other 1,500 employees having worked on this project since 2016. In the United States, particularly in the Northeast and the Northwest with the opportunity to grow our footprint in transportation infrastructure and program and project management. Globally, we see further growth potential with considerable investment in infrastructure spending over the next 10 years in our key geographies with a high proportion of that on roads and rail infrastructure. Turning now to our Nuclear business on Slide 7. There is significant new investment expected in the nuclear sector over the coming decades. As older facilities are refurbished or decommissioned and new projects come online in a number of jurisdictions across the world. We are ideally positioned to capitalize on this opportunity. Given our global leadership in this sector, we are particularly focused on deepening our footprint in our core Canada, UK and U.S. markets. We see significant potential with our end-to-end service across the full life cycle of nuclear assets to leverage our portfolio of hundreds of patents to develop new value-added solutions for our customers. A major highlight from our Nuclear business was a contract awarded to Atkins Nuclear Secured Holdings as part of an AECOM-led JV in the U.S. Department of Energy. This nuclear services contract is valued at $10 billion over 10 years and is for the central plateau cleanup at the Hanford site near Richland in Washington. Momentum in nuclear continued in Q1 2020 with the company winning several new contracts around the world. Moving to infrastructure services on Slide 8. We are concentrating our efforts on leveraging our strong track record of managing complex projects and offering these services to clients. We see numerous opportunities in Canada and in the U.S. for lower risk projects and construction management and operations and maintenance services mandates. We also see significant opportunities in alliance type contracts to be an integrator on major programs that leverage our end-to-end capability. Now turning to Slide 9, our SNCL projects business. Performance continued to improve in Q4 2019 and was better than the last four quarters. Our infrastructure EPC Project segment, which comprises the vast majority of our LSTK construction backlog was profitable in Q4, generating segment EBIT of $23 million compared to $10 million in Q4 2018. However, the business line registered a loss in the quarter due to the Resources segment and the loss was due to a combination of factors. On favorable reforecast on certain resource LSTK construction projects, the midstream oil and gas facility, which is in the process of being shut down; overhead costs that are in the process of being rightsized to align with the lower level of activity in our resources business. We are addressing all three of these factors as part of the restructuring of the Resources segment focusing on running off our LSTK backlog. In Q4 we reduced our resources backlog by 20% to $400 million, the vast majority of which will be wound down in 2020. The remaining LSTK project backlog is in infrastructure Canadian light rail contracts, where we have historically performed well. We anticipate running off the majority of this backlog by the end of 2021. At the end of the year, we also made the difficult but necessary decision to close Valerus, which resulted in a $72 million restructuring charge of which $54 million was non-cash, primarily driven by the inventory write down and the impairment of property and equipment. Going forward, we continue to actively pursue all options for the remaining resources business, including potential divestitures and the transition to a services-based business. We will provide an update as decisions are made. Lastly, turning to Slide 10. To conclude, I am proud of the resilience of our team has shown in 2019. 2019 was a challenging year, where we took several direct actions to reduce uncertainty in the business and set the company up for success in the future. These actions included; settling of the federal charges resulting from the company’s legacy activities in Libya; significantly reducing our leverage ratio; embarking on a new strategic direction, which involves derisking the company by exiting volatile LSTK construction business and ceasing bidding on new LSTK construction contracts. With these challenges now addressed, we are entering 2020 as stronger company and we are really excited about our future. We will be providing a 2020 outlook for SNCL Engineering Services later on this call, which Sylvain will walk you through. Equipped with a new strategic direction, a strong balance sheet and solid momentum, we are moving into a new phase for SNC-Lavalin. One in which, we are securing the permanent transformation of the company into a leading provider of professional engineering services and project management solutions. In order to achieve this transformation, we are ensuring that we have the skills and expertise at the senior leadership level to realize this objective. You may have noted, we have created several new roles, including a Chief Transformation Officer and appointed Jeff Bell as Chief Financial Officer. Jeff’s experience working for a global energy and services firm is ideally suited to the transformation objectives. He will be working closely with Sylvain to ensure we have a smooth transition, before assuming his new role as CFO in April. I’d like to also take a moment to thank our current CFO Sylvain for his leadership and extraordinary commitment to SNC-Lavalin as CFO over the past four years. Not only did Sylvain help the company to navigate a difficult period, he is also helped me tremendously in implements the new strategic direction. Sylvain, thank you again and I wish you all the success for the future. With that, I’ll now turn the call over to Nigel White, our EVP of Project Oversight to provide a status update on LSTK backlog. Nigel?
Nigel White: Thank you, Ian. Turning to Slide 12, over the past two quarters, I’ve continued to review the SNCL projects business with a focus on running off the LSTK backlog rapidly and effectively. We continue to conduct the sensitivity analysis of each of the projects currently in the backlog in order to get a realistic view of the best and worst case scenarios for each. Based on these analyses, we remain confident that the risks in our LSTK backlog are manageable. With this evidence based understanding of the LSTK backlog and continued to work with sector presidents and delivery teams to introduce a number of measures to enhance our risk management and optimize outcomes. We have established our Project Oversight team, which includes two senior executives, who will focused on resources and the infrastructure projects respectively. Strengthening our Project Oversight teams has allowed me to get a clear review of the projects business by getting out to the sites, taking closer looking at the projects and collaborating directly with teams and sector presidents to find solutions and to proactively address potential issues and manage risk. We’ve also strengthened our commercial team to each of the large Canadian infrastructure projects to ensure fair compensation on our contractual entitlements. We continue to enforce a number of enhanced controls and strategies, two examples of which are weekly project review meetings with senior leadership enabling transparent reporting to ensure issues are flagged and actioned as quickly as possible. And then working to improve our cost management protocols to better align with our supply chain to ensure greater project certainty. Slide 13, 14, 15 provides more detail on the current status of our LSTK backlog. Looking at Slide 13, the vast majority of the remaining $3 billion of LSTK contracts are infrastructure with approximately $2.6 billion or 86%. The remainder of the LSTK backlog, an estimated $400 million is in resources. These projects are primarily in oil and gas and the majority are expected to be run off by the end of 2020. I think it is important to bear in mind, however, these are highly complex projects and challenges will invariably arise. But I believe we are implementing the correct measures to ensure these risks are properly managed. I together with the sector presidents and their teams remain resolutely focused on winding down the remaining backlog as rapidly and effectively as possible. Thank you. I will now hand the call to Sylvain.
Sylvain Girard: Thank you, Nigel, and good morning, everyone. Starting on Slide 17, we reported an IFRS loss in Q4 of $293 million, which includes the net present value of the federal charges settlement of $257 million and restructuring costs of $100 million, mainly related to the closure of Valerus. Adjusted net income from E&C in Q4 2019 was $79 million or $0.45 per diluted share, compared to a net loss of $284 million or $1.62 per diluted share for Q4 of 2018. The improvement was mainly attributable to a significant decrease in losses from the resources segment as Q4 2018 included a significant loss in that segment, due to negative cost reforecast on a major mining LSTK project in Chile. In addition, company incurred lower financial expenses in Q4 2019, compared to Q4 2018. Adjusted net income from capital in Q4 2019 was $19 million or $0.11 per diluted share, compared to $54 million $0.31 per diluted share for Q4 2018, mainly due to the decrease in our stake in the Highway 407 ETR dividends, following the partial sale of our interest in the Highway 407 ETR in August 2019. Total revenues for Q4 2019 amounted to $2.4 billion. SNCL Engineering Services revenue is totaled $1.6 billion, an increase of 1.9%, compared to Q4 2018, mainly due to a revenue increase of 21% in Infrastructure Services, reflecting the increased level of activity in Linxon. SNCL Projects revenues for Q4 2019 decreased by 16% to $826 million, mainly due to this continuing backlog run-off of our LSTK construction projects and the resources in Infrastructure EPC Projects segment as well as no new bidding in that market. The SNCL Engineering Services business line had another strong quarter. It recorded a positive segment EBIT of $191 million, representing a 12% EBIT to revenue ratio, or 10% if we exclude capital. In contrast, the SNCL Projects business line reported negative EBIT totaling $28 million in Q4 2019, but represented a $17 million improvement versus Q3 2019. Total corporate SG&A for Q4 2019 totaled $28 million, $21 million for E&C only, in line with our expectations compared to $55 million of Q4 2018. Note that the corporate SG&A for Q4 2018 included a guaranteed minimum pension equalization expense, past service costs of $25 million. Corporate SG&A expenses for E&C only is expected to be between $80 and $90 million in 2020, while these expenses for capital. I expect it to be between $25 million and $35 million. The company’s balance sheet is strong. As of December 31, 2019, the company had $1.2 billion of cash, $1.2 billion of recourse debt and $400 million of limited recourse debt. We also had $2.4 billion in unused capacity under the company’s $2.6 billion committed revolving credit facility. Turning to Slide 18, cash flows from operating activities are significantly improved at $312 million in the fourth quarter of 2019. If we look at the cash flows generated by the SNCL Engineering Services business line only, which will be the core of our business going forward. Year-to-date operating cash flows excluding capital generated $733 million, representing a strong segment EBIT conversion ratio above 100%, mainly driven by strong working capital performance at year end and advanced payments in Linxon. The capital segment generated $197 million. We can also see on this slide that the cash flows from SNCL Projects are the main cause of our negative $355 million operating cash flows for the year. We expect our operating cash flows to be consistent with our prior periods resulting in better operating cash flows in the second half of the year versus the first half. Slide 19 details the company’s cash and debt position as at December 31, 2019. Outstanding recourse debt that the company has are three the debentures for a total of $675 million and the $500 million term loan. The company also has a limited recourse loan of CDPQ outstanding balance $400 million. The net recourse debt to EBITDA ratio calculated in accordance with the terms of the company’s credit agreement considerably, moving from 3.4 times at the end of September, 2.1 times at the end of the December. Slide 20 summarizes the results by segment. The resources segment recorded loss of $51 million, due to three drivers previously mentioned. While the Infrastructure EPC Project segment recorded an EBIT of $23 million as we continue to progress on our major LRT projects. All segments under SNCL Engineering Services performed well in the quarter and in mind with the full year segment EBIT margin, except for Nuclear, which had a particularly strong quarter. Moving to Slide 21. Now we have restored some consistency and predictability to the operations, we feel it is appropriate to give a bit more detail on our SNCL Engineering Services outlook for 2020, as this represents the growth and future of SNC-Lavalin. We expect for 2020 the gross revenue from SNCL Engineering Services excluding capital to grow by a low single digit percentage. This expected revenue increase is based on the following growth assumptions, low single digit revenue growth in EDPM, mid single digit growth in Nuclear and high single digit growth in Infrastructure Services. We’re also expecting to see segment EBITDA as a percentage of gross revenue from SNCL Engineering Services excluding capital to be between 10% and 12%. The effective tax rate for adjusted E&C is expected to be in the low to mid-20s. Also note that we now expect the cash tax payable on the Highway 407 ETR gain to be less than $25 million. Lastly, I want to remind you that you can find in the appendix of this presentation the 2019 segment EBITDA by quarter. As we believe this information could be useful going forward to evaluate the company. This concludes my last quarterly presentation for SNC-Lavalin, as Jeff Bell would be replacing me on the next call. I would like to thank you all. It was a great pleasure interacting with many of you over the past four years. We can now open the lines for questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Yuri Lynk of Canaccord Genuity.
Yuri Lynk: Good morning. Just one question on a – question on your guidance for 2020, it certainly helpful to get it for the engineering business. Relative to some of your peers, I would say that, the range is a bit large in terms of the margin guidance you’re giving so. Anything – is that just being conservative? Or are there some variables that are still up in the air at this point that could swing 2020 runway or the other? Just any color on that would be helpful.
Ian Edwards: So it’s Ian, thank you for the question. I think probably two things in respect of that. The first, as you pointed out is, we do want to be conservative in replacing the guidance that we’ve put on the table. And secondly, we historically and expect to continue to see quarter-on-quarter variance within each of the business lines. So the guidance is really in respect of the annual with variance from quarter-to-quarter.
Yuri Lynk: Okay. Is any of it related to the fact that you’re reporting gross revenues versus net? And there’s might be some variability in the conversion of gross to net revenue, just to…
Ian Edwards: There is some impact from that because the flow through volume as we call it that comes in, they tend to vary from quarter-to-quarter. So if you look at our more of the split for 2019, I mean you’ll see the margin range across the Engineering Services segment, you’ll see some variation there from quarter-to-quarter. And a lot of that is coming from flow through and other seasonality.
Yuri Lynk: Okay. Last one for me. What should we be expecting for operating cash flow in 2020 specifically around your expectations for the lump-sum turnkey project performance this year?
Ian Edwards: I’ll let Sylvain go through this with the detail on the numbers on that. But clearly in the lump-sum turnkey part of the business, we would continue to be focused on improved performance and continue to work our way through the resources sectors backlog in 2020 and the infrastructure backup in 2020 and 2021, and remain where we see that we’re through the remaining backlog. I mean, obviously, the key is to work through that and produce as much consistency as possible. But in the Infrastructure sector, there are milestones and receivables from closed jobs or past jobs that we need to deliver on. So that adds some volatility into the year-on-year. But Sylvain, maybe you can just talk to what we considered to the endpoint of that?
Sylvain Girard: Yes. Maybe I’ll get some color on under the operating cash flow in total and then add a couple specifics. So we’re not providing a specific guidance on operating cash flow on the base of that the volatility of cash inflows and outflows on the LSTK can move these numbers. But overall for the year, we’re expecting OCF to be positive. We – as it relates to the lump-sum turnkey project we do look at these projects over the whole runoff life. So at this moment, we see the entire runoff to be a positive cash event. But it’s unlikely to be positive in 2020 for the lump-sum turnkey basically because of timing the milestones as well as claim settlements. For Engineering Services, you should continue to have a strong EBIT to cash conversion. And I think, you could see in the prior quarter, in this quarter, there’s probably estimate range for that. And then lastly, as I pointed out in my remarks, the quarterly profile will be similar to 2019 with the stronger finish – stronger second half versus first half.
Yuri Lynk: Okay. Thanks for the color. I’ll turn it over.
Operator: Our next question comes from Benoit Poirier of Desjardins Capital Markets.
Benoit Poirier: Yes. Good morning. Just related to the cash flow with the LSTK contract, as you burning of $1.4 billion roughly of LSTK contract in 2020. So could you repeat the moving parts and whether you expect overall positive free cash flow related to that? Or is there some variances that depending on the milestone that could put some negative toward that, Sylvain?
Sylvain Girard: Yes. So Benoit, what I said is that the first – the overall runoff, which is a multiyear runoff as you can see in the chart, that we expect that to be a positive cash flow event. But in 2020, because of the timing of milestones, the cash advance received so far and the outstanding claims that we have on a few projects as we spoke about before the timing of those will put pressure on the cash flows for 2020. And right now, we see it’s unlikely that the LSTK cash flows will be positive in 2020.
Benoit Poirier: Okay. Can you talk without the being precise, Sylvain, could you talk about the magnitude of the – what you could get in 2020?
Sylvain Girard: Yes. No, we’re not going to be that precise because these can move around. I mean, they just can – settlements can easily get accelerated or can be pushed out. So unfortunately, no. The only thing I can tell you is, as I said, the overall picture, we see the overall picture will be that positive.
Benoit Poirier: Okay, perfect. And when we look at your net recourse debt to EBITDA big improvement on a sequential basis to 2.1. Could you walk us through your kind of your target going forward? And also how we should expect the number to finish toward the end of 2020?
Sylvain Girard: Well, I think the priority continues to improve that ratio. We spoke in the past about a gross debt to EBITDA type ratio of 1 to 1.5. So we’re not there yet. So I think this is going to be continuing towards 2020. But we see the ratio continue to improve as we replace poor EBITDA quarter with better ones in 2020. And that’s basically the priority right now.
Benoit Poirier: Okay, perfect. And Ian, could you give us an update on the LRT project with respect to Eglinton, REM and Trillium?
Ian Edwards: Yes. So let’s take Eglinton first. Because there’s been some media about Eglinton, I mean, clearly this is a project that is more than halfway through. So we’re well advanced in the project. There have been issues in the past three years with respect to working in urban environment and tie communities with permitting and community interface, and all of those kind of third-party issues that are not unusual. And they have had an impact on the project. And we are working very close with the client to optimize the best completion date for that project expected now in 2022, early 2022. And clearly these are all issues that are out with the original contemplation of the contract. And we’re also working closely with the client to resolve those from a commercial perspective. So we’re actually really pleased with where the project is heading and how we’re dealing with the challenges together with the client. On REM, as you’d saw, we had various challenges together with the client. Some of which was attributable to the existing tunnel here and some other issues that we needed again to face together with the client. Our business is about providing solutions to challenges and our business is about overcoming those challenges with the client such that it’s a win-win outcome. And we achieved that at the end of the year with the client on REM and put a commercial arrangement in place. So that we could really focus on driving the performance of the project and completing that project on time, so very satisfied with the outcome there. On the Trillium project, again, a lot of media noise around the bid. We are very satisfied with our bid. We have now been working on the project for over a year. We have – we got passed the first construction season last year. I was actually on the project last week. We’re setting ourselves up for a busy construction season. We’re ready for that. It’s gone well so far. But it’s early days. We’re less than 20% complete on that project. But all things look positive from that perspective so far.
Benoit Poirier: Okay, perfect. And last one for me, Ian. Could you talk about the strategic review, the timing around the ramp down of Valerus? And also resources services if you could give us the big numbers from a revenue and EBITDA contribution standpoint and also the timing around the review?
Ian Edwards: I mean, as we’ve said clearly, as part of the new strategic direction, the resources business is under review. And the objective of the review is to get the business into profitability, to get the business performing and to get the business to produce cash. Now in addition to that, which we’ve also been fairly open about, we are exploring the potential for divestitures within the business or as the business as a whole to really understand, what are the best place for business in the long-term. Is it with ourselves? Or is it with somebody else? So as part of the journey, if you like to improve the business, we’re highly focused on working through the LSTK backlog, which was spoke about. We had a loss-making midstream facility within Valerus, which we either were looking to sell or close down and we decided ultimately that from a timing perspective, the most efficient for ourselves was to close that facility down, which we’ve done, which formed the basis of some of the reporting that we put out this time. And then the whole business of transforming this business into a services-based business from an LSTK business needs the rightsizing of the overhead, which we’re actively in the process of both last year and we will be this year also. Specifically on the numbers, I don’t know if you want to reiterate those Sylvain, if you would.
Sylvain Girard: Yes. Just – then maybe I’ll need you to ask to repeat the end of your question. But on the Valerus closure the timing for that is in Q1 we’ll be pretty much done with the completion of the outstanding backlog. So we are well advanced into that. So that’d be done. And then throughout Q2 we’ll be finalizing the liquidation of the remaining inventory, but all the charges were taken in the Q4 results. And then if you don’t mind, Benoit, what was the tail end of your question?
Benoit Poirier: I just want to know the size of the resources services from a revenue and EBITDA standpoint right now it’s divided roughly.
Sylvain Girard: Well, I think it depends on where we end up with the review to be honest. I mean the service piece of the business is above $1 billion in the moment. But depending on the provision of the review, we’ll modify that number.
Ian Edwards: I mean, its current status in terms of backlog. You can deduct from the SNCL projects and the LSTK portion of that being $3 billion.
Benoit Poirier: Good. Perfect. Thank you very much for the time.
Ian Edwards: Thank you.
Operator: Our next question comes from Mark Neville of Scotiabank.
Mark Neville: Good morning. Maybe just to follow-up on the cash flow conversation for 2020. Again, I understand you’re not trying to sort of pin down exact numbers for the projects business for cash flow for this year. But so then you made a comment about the business on a consolidated basis being sort of cash flow positive. Engineering services in 2019 did, call it, $730 million of operating cash flow. So I’m just – I guess, just trying to understand the comment about positive cash flow for the business and if it’s – we’re thinking sort of hundreds of millions of dollar sort of magnitude sort of negative from projects pressure this year, again something of that size.
Sylvain Girard: Well, I think I said most of what we wish to say at this point, unfortunately. So yes, so I think, it’s hard for me to add much more to that. I think you all saw the volatility to LSTK’s concerning, I think we had a good project forecast around that, but things can move around. On engineering services, we provided data point on at the end of Q3. You could see the performance in the Q4. And obviously the full year performance is quite high. So I would not assume that a conversion ratio of EBIT in line with the full year of 2019 for that segment has to be something below 100%. You probably can – this segment will behave more like a typical service business. So I think you probably figured that out. So that’s – I say now, we’re saying as an overall company it will be positive. So before you can…
Mark Neville: Okay. Maybe just on the EBIT segment ranges. Again, I guess the 8% to 10% EDPM feels a bit conservative. But is that, I guess sort of just trying to capture sort of the quarter to quarter volatility, but for the year, again, 8% number feels a bit like it would be a bit late. Is that sort of the right way to think about it?
Sylvain Girard: Yes. That’s the right way to think about it.
Ian Edwards: Yes, it is.
Mark Neville: Maybe just following on the resources as well, a couple of questions. Maybe just first, of the loss that you reported in Q4, how much was sort of tied to reforecast.
Sylvain Girard: Ian broke it down among the two pieces, so it’s not that similar to last quarter there was a little bit more on reforecast as a percentage than in Q3. So, somewhere between 40% and 50% was reforecast and then the rest was split between Valerus and overhead.
Mark Neville: Sorry, what was that number? The percentage Sylvain, I missed it.
Sylvain Girard: Between 40% to 50%.
Mark Neville: Okay. Maybe just last one. Just on the service business within the resource, again, correct me if I’m wrong, I think you said a $3 billion backlog tied to that business. Is that right?
Ian Edwards: No. What I said was – if you look at SNCL project, $3 billion of the backlog that we reported in SNCL projects is LSTK, so the remaining is resources services, yes.
Mark Neville: Yes. Okay. I guess sort of – again, as you’re sort of working through, I guess, sort of alternatives for the business. I guess the question, my question would be, is there any – presumably it can be a good business once if it was all service in rightsize. Is there any synergies for this with the rest of the business? Or any sort of reason beyond sort of it being, a good business to own it? Or maybe why someone might not be better in someone else’s hands.
Ian Edwards: So I think a couple of things I would say for sure. We have businesses in the same geography as our resources business, whether that’s the Middle East, North America or Europe. But that’s part and parcel of the review that we’re doing to see how profitable can this business be, and how important is the LSTK components of this business going forward. So all of these things are kind of under review. The most important thing that we’re trying to get to is it has to be approaching the same profitability as the rest of our SNCL engineering services business. And that’s what we’re trying to determine before we make further decisions. And it’s not – these decisions are not necessarily kind of binary on the whole business. There maybe business lines within the business that we need to either make further decisions around or move. Does that answer the question?
Mark Neville: Sure.
Operator: Our next question comes from Jacob Bout of CIBC.
Jacob Bout: Good morning. I wanted to go back to the revenue guidance that you’ve given. So I guess, you’re guiding to low single digit gross revenue growth, and I compare that to your book to bill of 1.2x. And the guidance feels conservative to me. Can you just kind of walk us through some of the puts and takes and maybe also how you are thinking about this coronavirus? I know very difficult.
Sylvain Girard: Maybe I’ll say a few things and then Ian can jump in on. One thing to consider, the EDPM were you have the lower range of revenue growth had a pretty strong finish in 2019. So I think that has a bit of a bearing into the number we see for 2020. And then in terms of your book to bill, that’s correct. It was strong growth and that’s why we still continue to see strong growth in the infrastructure services, which was a key driver of that that book to bill.
Ian Edwards: I mean, that is an overview comment. What I would say is, clearly we’re working to a new plan. And the new plan has several components and one of it is growth in SNCL engineering services. Our focus on those business lines, in EDPM, nuclear and infrastructure services, they all have different growth potential and they all have different growth plans. And I think with the guidance that was given, again, we want to be prudent at this time because we’re working our way into this plan and we’re six months into it. Clearly, our expectation in the longer term exceeds that. On the virus – just a question on the virus. I mean, obviously we’re concerned just the same as all other companies, countries and people. We have a process in place, we’ve implemented globally, which collects local data, local impact and we collect that together and make decisions around, how we need to protect our people and how we need to protect our business. Clearly, the most mature, if you like, region where the virus is present is in China and we have taken measures in our China business and our Hong Kong business to implement working from home and travel restrictions. The impact is kind of not very, very significant from those businesses right now. I mean, in 2019 Hong Kong represented about 1.2% of our revenues and China 0.4% of our revenues. But to say what the impact globally on our business is going to be, I wouldn’t be able to speculate at this time. And we’re putting plans in place to deal with it just as we did in China and Hong Kong, but I couldn’t really give you anything beyond that to speculate on the impact.
Jacob Bout: Okay. That’s helpful. Maybe a question here just on the EBIT margins in a nuclear saying 13% to 15%. When we look at the decommissioning work versus the can do work, how should we be thinking about that from a margin perspective? Is it similar? Or is more heavily weighted into one type of work versus the other?
Ian Edwards: There’s two parts to that. One is how it’s reported and the other is the absolute profitability of the business. I don’t think that is similar in terms of the profitability within those two lines of business, but how is reported, I mean, maybe Sylvain can respond to that.
Sylvain Girard: Yes. So a lot of the decommissioning work that will take place as well will be in the U.S. and the work done in the U.S. will be done through our joint venture with CDI. And you’ll see that coming through as an equity pickup. So it is part of the outlook number we provided in terms of the range we provided includes that equity pickup from those projects.
Jacob Bout: Okay. I’ll leave it there. Thank you.
Ian Edwards: Thank you.
Operator: Our next question comes from Chris Murray of AltaCorp Capital.
Chris Murray: Thank you. Good morning folks. I’m just following up on Jacob’s question. Actually, I’d had a couple questions about the nuclear business. So, I guess, first thing, you’ve sort of guided to mid single digit revenue growth. And again, back to – maybe it’s a presentation thing, but can you just walk us through – you won a lot of awards, you certainly have some of the decommissioning work coming in. So I’m a little surprised that the growth rate is frankly as low as it is going into the year. So just – can you walk through some of the moving parts of where you’re thinking? I think the other thing, if you can, will you touch on it. How do you think about this business over the next couple of years? Do you think there are some additional opportunities for other decommissioning work or that there are other projects that you think that are out there?
Ian Edwards: Yes, yes. Thanks, Chris. So, currently, if we think about the kind of main components of the business, we’ve got a life extensions happening in live projects in Canada. We’ve got waste remediation business, which is primarily located in the U.S. and we’ve got the decommissioning business, which is currently located in the U.S. We’ve got new build, which is supporting the Hinkley construction in the UK. And then we’ve got technologies, which are kind of global, which we’re selling and promoting globally to the nuclear industry. So there’s clearly growth potential in the three core geographies there of the UK, the U.S. and Canada to do more of those business lines in the three countries, so there’s absolutely growth potential as power plants come offline and waste needs remediation. The long-term contracts, so if you look at the new contract we won on waste, that’s a 10 year contract. And the decommissioning contracts have got a relatively slow start before they ramp up because there is a lot of pre-engineering and a lot of preparation work. So, for sure, this is a really exciting business for us. And probably, what you’re seeing right now is that what I would call is the start of the growth phase.
Nigel White: Yes. Maybe if I can add to Ian’s answer, it’s kind of related to Jacob’s question earlier, which is the revenues that will come through the JV and CDI for instance, you won’t see those hit the revenue line, right. So the percentage we gave you there was basically what you will see up here in the red line, so there is going to be growth that will just show up through the bottom line as equity pickup.
Chris Murray: So I mean, maybe to that point then, like, so because I mean, it makes it – the lack of transparencies that can be a little challenging for us. So if we think about growth year-over-year let’s assume and maybe this is fair, I mean, you’d made the comment about 15% to – 13% to 15% margins similar to the rest of the business. Is it fair to think that as we see that equity pickup, that kind of reverse engineering that kind of gets us a better feel for what the actual kind of revenue or activity level is in terms of the – in terms of what you’re doing,
Ian Edwards: Well, I think we provide you true enough to probably roll out with the numbers. Now if you’re trying to break out what is equity pickup versus not. Yes, you’re right. You’ll struggle a bit to do that. That’s one area that we’ll be looking at from the reporting standpoint is how do we provide some color on the activities done through JV. So that’s something, I guess Jeff, will be looking at and see what’s appropriate to do at that point.
Chris Murray: All right, fair enough. Just my other question – just, I don’t know how you want to address this one. You did announce it in your press release, the fact that you’d completed the work of the board committee in terms of its special activities. But at the same time, I guess, the other question that posed was does that sort of impact what you’re thinking about doing with the resources business? Just wondering if you can kind of square the – maybe the disconnect there because if you’re going to look to do maybe larger transactions or something like that I would’ve thought you would’ve kept the committee in place?
Ian Edwards: So, I mean, first of all, the committee was very useful to me, in the first half of last year and getting to the point, where we defined the new strategic direction. And then continued to be helpful, as we made some decisions and look towards further decisions. But I think we got to a point, now we’ve defined what the future of the company is in terms of it being a professional services and project management company that it’s really about execution now. And it’s really about building on that strategic plan to take the company forward successfully around those sort of macro parameters, macro strategic goals. So that’ll be just a normal board sort of support, normal board oversight and normal board function. And I think that’s really why we got to a point where we thought the special committee could be disbanded.
Chris Murray: Okay. So we shouldn’t read anything into your thoughts around, what you’re going to do with the resources business with that community going away. So you’re still going to continue to look at perhaps divestitures if necessary.
Ian Edwards: Absolutely. All options, absolutely. And we’ll make those decisions with board oversight and board approval as, as we need to and communicate them, obviously.
Chris Murray: Alright. Thank you.
Operator: Our next question comes from Devin Dodge of BMO Capital Markets.
Devin Dodge: All right. Thanks. Good morning, guys.
Ian Edwards: Hi, Devin.
Devin Dodge: Just want to take maybe one more stab at a cash flow question. Sylvain, do you expect the overall business to be free cash flow positive in 2020?
Sylvain Girard: I think we gave you all, we wanted to get you to be honest on this one. So and don’t take my answer is meaning no or yes, it just, I think you got to run through your model and then and I think we provide enough for you to get to it, decent OCF and then we provided a guidance on CapEx as well. So I think you’ll see what that comes out to be.
Devin Dodge: Okay. Okay. So maybe – look, when if you guys continue on your continued profitability trend from the last couple of quarters and we have leverage getting down kind of maybe to the lower end of your targeted range by the second half of 2020. Do you think you’d be able to maybe reengage on this small-scale M&A or maybe even share buybacks in the back half of the year?
Ian Edwards: Thanks for the question. So I think, first of all, we don’t want to get ahead of ourselves. I mean, the main drive of the company and what we’re trying to achieve right now is improved performance work our way through the LSTK backlog support our SNCL Engineering Services business and all of that is to get to that point, of course. We intend through – with Jeff on board now. Jeff is going to look at the capital allocation strategy such that we can communicate that at a point in time. But certainly right now the main focus is on continued performance and continued kind of generation of cash and continued improvement.
Devin Dodge: Okay. Makes sense. Maybe one last one, just on the concession portfolio, are there any candidates to be monetized over the next 12 months, either to that partnership with BBGI or another party?
Ian Edwards: I’m sorry, can you repeat the question.
Nigel White: Monetized concession asset.
Ian Edwards: Yes, not right now. Not in the plan right now.
Devin Dodge: Okay. Fair enough. I’ll leave it there. Ian, I hope you’re feeling better soon and Sylvain just best of luck for your next steps.
Sylvain Girard: Thank you very much.
Operator: Our next question comes from Maxim Sytchev of National Bank Financial.
Maxim Sytchev: Hi, good morning. Just a quick question, when we look on infrastructure services. Do you mind just giving a bit more color on the standardized EPC contracts, the $892 million? And maybe if you can discuss the risk profile around those things if it’s possible?
Ian Edwards: Yes. So two things. One is the projects we undertake with ABB under Linxon. And we call those standardized projects rather than really to see, because the business is first of all about supply of ABB products. A major portion of it is installation of those components. And a very small element of it is in the construction that supports that. And they’re very repetitive standardized products. And we think we can take those to different customers with ABB and grow a successful kind of lower risk business from that. The other component is our district cooling business. In the Middle East, we are a leader of a district cooling facilities. We’ve been doing this for well over a decade. We would go more districts cooling facilities in the Middle East than our peers. And it’s been a successful business for a long time. And again, it’s very, very similar that these things are repeat “type of projects” that we build and install. So we don’t see it’s high risk business.
Maxim Sytchev: Okay, fair enough. Thank you for that. And then question I presume maybe for Sylvain, on the working capital, positive swing in Q4. Was there anything from a Champlain or was it all just all the other projects contributing to the Q4?
Sylvain Girard: No. There was nothing from Champlain, would have liked that, but no. Everything, the contribution on working capital reduction was pretty much spread across the – almost all segments. So…
Maxim Sytchev: Okay. And then in terms of when we try to visualize, like, I understand, again, timing on milestones right now, it’s a bit hard to pinpoint exactly how those things are going to play out. But when you talk about sort of the life duration of this projects to be OCF positive. So should we be then expecting a significant reversal in, I don’t know, in 2021, 2022, in terms of working capital recovery? I mean, just in terms of, how will it play out from a cash flow perspective if it’s possible?
Ian Edwards: Yes. So, based on what I said, right, so overall life positive 2020, unlikely to be positive. You started on a number of these projects, you start with a with a set of advanced payment or milestone payment that you’re just going to burn off especially you’ll burn that off through the life. But then you also have some margin recognition through the life as well. So, as we blend the two together is basically how you end up with a net positive, which is something where we’ve been tracking, and we’ll continue to track I guess at different points in time. What is the balance between what I’ve already received versus what it remains to be received on the project and the margin associated with that? And that that gives rise to essentially your net margin at the end of the project. And then you compare to the cash flow position you have at the beginning of it and is that a positive event or not? So that’s how we do it. I’m not sure that answered your question, but…
Maxim Sytchev: No. And I guess directionally, as the backlog in LSTK, shrinks pretty aggressively over the next two years. If we’re trying to think directionally the non-cash working capital, there should be reversing sort of in the opposite direction, correct?
Ian Edwards: Absolutely. Absolutely. So today, if I tell you the overall duration will be a positive event, and I tell you that 2020 will be negative. Well, it means the 2021 will catch up on that situation. Well, 2021, 2022 going forward, it’ll catch up on that situation, and hope that will be a positive event.
Maxim Sytchev: Okay. Okay, that’s helpful. Thank you so much.
Ian Edwards: Thank you.
Operator: Our next question comes from Michael Tupholme of TD Securities.
Michael Tupholme: Thank you, good morning. I just want to go back to outlook and the low-single digit percentage guidance. And I just want to clarify, in the prepared remarks, did you actually provide some more specific details around your expectations for each segment if you did? I believe, I missed that. If you could just go over that again.
Ian Edwards: Yes. I did. So EDPM, set low-single digit, Nuclear mid-single digit, and Infrastructure Services high-single digits.
Michael Tupholme: Okay, great. Thank you. Secondly, just in terms of the Resources segments, you provided some information about how the loss in the quarter on an EBIT basis broke down between the overruns, Valerus and the rightsizing. I’m just wondering, as we look forward with the Valerus shutdown, I’m trying to get a sense for when these elements of the losses start to go away. So Valerus could see losses contributing in the first quarter and into the second quarter, and at what point did the rightsizing issues sort of – is that dealt with and we see losses from that perspective realize the cost of runs, maybe it’s a bit harder to predict, but can you just talk a little bit about as we moved through the year, like when these elements of the various loss features started feeding away?
Sylvain Girard: Yes, so I’ll answer the Valerus piece and then Ian will add some color on some the overall actions. So on Valerus, as I said, we’re aiming to complete the remaining backlog by the end of the first quarter. And by that time, the operating losses associated to those orders should all be taken. So we don’t foresee much, if anything of that in Q2. Q2 will be more the finalization of the inventory liquidation. We’re trying to do this in somewhat of an orderly fashion to maximize value, but the impairment itself has been taken in Q4.
Ian Edwards: Yes, I mean, there’s a sort of overview comment. If you take the LSTK and the overhead as the other two components, I mean, clearly we moved 20% through the backlog and as we worked through this year, every quarter, the backlog diminishes and as it diminishes the risk diminishes and our – our direction of risk comes to a close. So, we would expect to see continued improvement as we worked through that LSTK backlog. Similarly with the overhead, as we transition the business from LSTK to services business, we are taking actions where we took significant action in the second half of 2019 with respect to right size and the overhead. And we have a plan to continue to make those changes in Q1 and Q2 of this year. So I have given a precise kind of guidance to that, it’s the way we see it; it is in the present situation.
Michael Tupholme: Okay. And are you able to talk at all about the cadence of the runoff of the resources backlog in the LSTK side, the 400 million over the course of this year? Is that front-end weighted? Is it evenly spread through the year? And just on that point, the graph you presented on slide 15 makes it seem as though most of that resources work is completed, in 2020 yet the table on Slide 14 shows two projects going to 2021. So are they finished at the very front-end of 2021?
Ian Edwards: I don’t think there’s a huge quarter flipped difference in thereby. I don’t have the exact numbers with me, but I wouldn’t assume that there is anything that’s here quarter-on-quarter on this. There’s a small component on one of the projects we post in 2021 as you rightly pointed out. And I think the only other thing we could say is that the 20%, the backlog you saw was brought down.
Michael Tupholme: Thanks. And just further on resources and more broadly, I guess the whole LSTK backlog as – did the whole team and Nigel in particular completes the work of sort of monitoring these projects and project oversight. Have you identified any new risks either in the fourth quarter or up until today that you hadn’t previously identified in Q3?
Ian Edwards: You mean risks in the projects?
Michael Tupholme: Correct.
Ian Edwards: Well, the projects are in dynamic situation always. I mean, the risks are closed and risks are experienced, I mean that is part of the construction process. I mean, frankly speaking, it is difficult to answer that question by saying there’s no new risk, but at the same time we look close, a lot of risk out. I mean at each of these projects we’ve got very detailed risk analysis schedules and clearly the management on the project, the whole drive is to close them out as quick as possible, but also identify what’s ahead as quick as possible. I mean Nigel, I don’t know if you… 
Nigel White : Yes. Perhaps what I would say is I think we certainly believe now that we’ve got a heightened sense of the investigation and interrogation as the challenges is always on the project. And we dynamically manage those risks as we move forward, as a team we are very focused on that. And let’s say we’ve reinforced our protocols to make sure that we do that well. One thing we can say is obviously as we work through the backlog, we were looking closely producing diminishing risk perspective.
Michael Tupholme: Okay. That’s helpful. Thank you. And then just lastly can you clarify or tell us when the two items, when the 407 tax payment actually gets paid and the first payment in respect of the federal charges settlement gets made.
Sylvain Girard: It’s the tax is Q1 and the settlement will end between Q1 and Q2, because it’s a bit of a timing issue that could get – could move in between Q1 and Q2.
Michael Tupholme: Okay. Thank you. 
Operator: This concludes the question and answer session. I would like to turn the conference back over to Mr. Denis Jasmin for any closing remarks.
Ian Edwards : I just want to – just thank everybody for bearing with me today. I’ve got a bit of a cough, so sorry about the creepiness and thank you very much for the questions today. 
Denis Jasmin: Yes. Thank you very much everyone. If you have more questions, you can always come back to me. Thank you so much and have a beautiful day. Thanks.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.